Operator: Greetings and welcome to the Flowers Foods' second quarter 2011 earnings conference call and webcast. (Operator Instructions) It is now my pleasure to introduce your host, Marta Jones Turner, Executive Vice President, Corporate Relations for Flowers Foods. Thank you, Ms. Jones Turner. You may begin.
Marta Turner: Thank you and good morning everyone. Our second quarter results were released earlier and if you need a copy, of course that's posted on our website. We also filed the 10-Q this morning, so that information is available with our SEC filing. During the call, we'll be using a PowerPoint presentation to support our speakers and you can find that presentation on the webcast listen page. Of course, before we get started I have to remind you that our presentation may include forward-looking statements about our company's performance. Although we believe those segments to be reasonable, they are subject to risks and uncertainties that could cause actual results to differ materially. In addition to the matters we'll discuss during the call, important factors relating Flowers' business are detailed fully in our filing with the SEC. A quick review of our schedule this morning, George Deese, Flowers' Chairman and CEO will give opening remarks. Steve Kinsey, our Chief Financial Officer will give you more details on the financials. Then Allen Shiver, President of Flowers Foods will talk to you about sales and operation. And then George, of course will come back and will open the call for your questions. So I'm very pleased to turn the call over to Flowers Foods' Chairman and CEO, George Deese.
George Deese: Thank you, Marta. Good morning to each of you and thank you for your continued interest in Flowers Foods. I'm sure by now you have received and read our 2011 second quarter sales and earnings report. As Marta told you, Steve will give you the detailed financial information and Allen Shiver will follow up on the operational segment of the company. Before I turn the call over to Steve, let me give you a quick overview for the quarter. First, we're pleased to announce the 3-for-2 stock split, which is effective June 24. We also increased our annual dividend rate by $0.10 or 12% per share. In the quarter, we completed the acquisition of Tasty Baking Company, which will add about $200 million to our annual sales. We believe Tasty Baking will give Flowers Foods a national platform to grow our fresh cake business. Just as important we feel we can leverage our Nature's Own brand for breads and rolls across the mid-Atlantic and into the Northeastern portion of the United States. Our serve in this important area, we reached 61% of the U.S. population, moving toward our five-year target of serving 75% of the U.S. population through out DSD network. Also pleased to report that integration of Tasty Baking is well underway and right on schedule and is going as expected. Getting back to the quarter, sale for the quarter increased 5.7% year-over-year and excluding one-time charges related to the Tasty acquisition, earnings per share was $0.23 versus $0.24, a decrease of some 4.2%. Looking more closely to our results, you will note that our DSD business came in right at expectations. By the way that represents some 75% of our business and the main portion of our business, which had a very good quarter. We were up against tough comps in our Warehouse segment, which represents 25% of our business. You may recall that in the second quarter of 2010, Warehouse sales were up just over 10%, so we did have tough comps. In this year's second quarter, our biggest impact to earnings came in the Warehouse segment, which had a shortfall in sales and volume, due to delay in some business, and also a lag in pricing as compared to ingredient cost. We should see improvement in pricing in the third and fourth quarters as well as improved volumes later in the year. My main concern for the immediate future lies with our input cost, pricing and consumer demand. I tell you that out of these three, consumer demand is the real concern. Reviewing our IRI data, you will see the fresh package breads in dollar and unit growth rates did not perform well as total food. We saw symmetry in quarter two of 2008. And what I think we're seeing is a weak consumer confidence, and let's say this to the supermarkets in general. And I think the supermarkets reports from around the United States that you will see the same type of discussion, as consumer is not as confident and they are making less visits to most supermarkets. I'd like to turn to answer briefly the questions I get most often from each of you. And that is, number one, you're always concerned about the input cost going forward? I'd say roughly we're looking at more the same, and more the same means that commodities are high, the input cost is high. We do not expect that to subside as weather events, more grain usage around the world has created problems for the food industry in the United States. So we don't see any big letdown on input cost. I'd say this has somewhat differed when we had the spikes in certain commodities whether it's Russian embargo or county issues or whatever, there were big weather problems. Normally, I see the wheat go up, but what we're seeing there is all ingredients as well as energy continuum to necessarily spike in each ingredient. But all ingredients and so forth continued to rise at levels that we've not seen on a level basis. Now, I would say in addition to that they are volatile. We see more swings a day than 20 years ago we'd see all year. That does create uncertainty and real stress on management to do a great job to level these costs out the best we can. And I know you always ask how do you plan to offset costs. We always look first of all at cost savings initiatives before we start raising price. For example, this year we continued to reduce our dependency on smaller lines like 400 bun lines. This quarter, for example, we're putting online a new bun line, which does give us increased capacity which again reduced our dependence on the smaller lines. We're also enlarging a bread line in our Northern region, which also we'll have that region on from a capacity standpoint. We continue to look at inefficient plants; example, Bluefield that we closed in the first quarter. We continue to see how can we consolidate production lines and we prove that by closing one of our mix plants and consolidated production into one facility. I'm proud to say that in our administrative area with signature capture and distributor, all working through administration, we were able to reduce a lot of cost in our administrative area. The machine automation continues to be upfront. It's good for our bakers. You will see that bakeries are completely automated and we've done the shipping. We always have a lot of labor shipping product. We want to become less dependent on that and we are investing to improve shipping. Also, you are probably aware that we are in the process of getting all the synergies from the acquisition of Tasty Baking Company that is moving forward, and we expect by the first year to have that complete in the new fiscal year. I would say then from a pricing standpoint, we only look at pricing after we go through and look on what we can take out of business from a cost standpoint. So we have taken pricing, I mentioned we will be having more cake increases in third and fourth quarter. We'll also have more pricing as we go through the rest of the year on the DSD standpoint. We also have new business that we talked in our last quarter, and Allen will talk about in a few minutes coming, it's already begun in the back half of the year. So we do have cost increases. We work to eliminate as much cost as we possibly can. And then we look at improved margins and we have improved margins over time. If you look back at our EBITDA, when two years ago we were looking at 8%, and now we're talking about from 11% to 13% as our five-year target. So we increased in those margins not on pricing, but we increased margins based on innovation, based on technology, new products and new business to increase these margins. The next question that I get most often is that you see continued consolidation in the baking industry. I'll say, absolutely yes. Not only in the baking industry, but nearly any day you pick up a paper and you see some M&A activity in United States related to industry general that's specifically in the food industry, and I think it's all about growth. And that would grow to the topline and be more important to the customers that we serve. Looking back specifically then, as we look at the baking industry, we do see, as you're saying the larger players announcing merger activity, just as we did with Tasty Baking this year. And I think, as we look at the smaller players and the vendor players, the regional players as they continue to place commodity pressures. As they decide on to in new investment and equipment and/or new facilities, as they go through succession planning thoughts, as they plan for their stake planning. And more specifically I'd say that most of us know that capital gains will probably increase tremendously in now or some in 2013. So I think there's a lot of fall pattern in the business, people to look at gain coming and to exit the business at this point. So my prediction is that the rest of '11 and certainly in '012 that you will see probably more activity from an M&A standpoint. So those are two most questions I get most often, we will open the line later for Q&A. But at this time, I will turn the call over to Steve Kinsey.
Steve Kinsey: Thank you, George, and good morning everyone. Before we move to the financial review, I do want to remind you that we did file our second quarter Form 10-Q with the SEC this morning simultaneous with our earnings release. Now turning to the financial information, during the second quarter, sales were up 5.7%. This increase as shown was driven by price/mix of 4.5%, primarily attributable to price. And a contribution from the Tasty Baking acquisition of 3.3%, partially offsetting these increases was a decline in volume of 2.1%. The volume decline was a result of pressure in the branded retail channel, and as George mentioned tough comps in the warehouse segment. GAAP EBIT of $43.1 million was down approximately 15.9% compared to the prior quarter. However, excluding the one-time cost for $4.5 million associated with the Tasty Baking acquisition. EBIT on an adjusted basis was down 7% or $3.6 million quarter-over-quarter, and decreased to 100 basis points to 7.4% of sales on an adjusted basis compared to the prior-year quarter. GAAP EPS was 21% per share, down 12.5%. Excluding the one-time cost related to the Tasty Baking acquisition, EPS was $0.23 per share compared to last year's $0.24 per share, down approximately 4.2%. Though, the second quarter earning were somewhat pressured, year-to-date earning per share, as you can see, excluding one-time cost was up 3.7% over the prior year. As George said, sales performance in the second quarter was solid. As shown here, sales have been improving sequentially, since we began seeing pressure back in early 2010. Excluding the Tasty Baking acquisition sale in the second quarter of this year, sales were up approximately 2.4% in the quarter. This gives us confidence as we enter the back half that we can meet the sale target discussed in today's call. Gross margin improved in absolute dollars through the quarter, but was down 80 basis points as a percentage of sales. The overall decline in the gross margin percentage is the result of higher input cost across all segments. Input cost, ingredients packaging and natural gas were up almost 8% on a volume neutral basis. Furthermore, in the warehouse segment pricing lagged significant cost increases and overall volume declines and volume shift affected the overhead coverage during the quarter. During the second quarter, Tasty Baking negatively impacted margins approximately 20 basis points. However, as we have said we expect this to improve, as we continue to expand distribution of the Tastykake brand growing sales and improving operating efficiency in the plans. As a reminder, input cost for the year are forecasted to be up 8% to 10% on the volume neutral basis, and this also excludes the effect of the Tasty Baking acquisition The second quarter gross margin was not affected by any one-time cost. However, year-to-date gross margin did include some one-time cost as shown on the slide. Without those, one-time cost gross margin year-to-date as a percentage will be slightly up year-over-over. EBITDA in the quarter declined to 10% of sales compared to 11.7% in the same quarter last year. Excluding the $4.5 million of one-time cost associated with the Tasty Baking acquisition, EBITDA as a percent of sales would have been 10.7% or down approximately 100 basis points year-over-year. Without these costs, the overall decline in EBITDA margin was driven, as I have discussed earlier, by the pressure on gross margin. Selling, distribution and administrative expenses were 36.8% of sales compared to 35.9% of sales in the same quarter last year. The cost associated with the Tasty Baking acquisition affected selling, distribution and administrative cost by 70 basis points as a percent of sales. Excluding the acquisition cost SD&A cost as a percentage of sales for the quarter would have been relatively flat. In the back half of 2011, we anticipate an additional $1.5 million to $2 million of one-time cost associated with the acquisition. And the tax rate for the quarter was in line with 2011 guidance of 35% to 35.5%. Looking quickly at year-to-date EBITDA, excluding the one-time acquisition cost, EBITDA at 11.4% of sales compared to last year's 11.3% was slightly up. Briefly commenting on the balance sheet and cash flow, as you can see cash flow from operations during the quarter was negative. The negative cash flow was primarily the result of heading activity and heavier accounts payable. We continue to execute on our strategies for the uses of cash, investing in our bakery and paying dividends to our shareholders. So there were no share repurchase within the quarter, 7.7 million shares remain available for repurchase under our plan and we remained committed to repurchasing shares on an opportunistic basis. We did add leverage to the balance sheet this quarter as a result of the Testy Backing acquisition. Even with this additional leverage, we believe that our balance sheet give us the strength and flexibility to continue to execute on our cash strategy as well as provide for future growth. As George mentioned, and as you think, we are adjusting our 2011 guidance today. Sales including Tasty Baking are now forecasted to increase 7% to 11% year-over-year. Tasty Baking is forecasted to be 4% to 5% of the increase. Organic growth remains in line with the previous guidance of 3% to 6%. Earnings per share are now forecasted to be flat to up 5% compared to our original guidance above 5% to 10%. The forecast anticipates that Tasty Baking will be neutral on EPS for the full year and also exclude any one-time charges during the year. The downward revision in the 2011 guidance is the result of uncertainty, as George mentioned in the back half, because of the slower than anticipated economic recovery. Risk to our guidance continues to be the overall competitive environment as well as consumer response and surprising actions in the back half. We are also revising our capital expenditure guidance downward to $85 million to $90 million from previous guidance of $95 million to $100 million. Now, Allen will update you on sales and operations. Thank you.
Allen Shiver: Thank you, Steve, and good morning. As George mentioned earlier consumers continue to adjust their shopping patterns as they experience financial pressure from the tough economy. In the fresh bakery category, volume continues to be soft and consumers focus on core items and resist incremental purchases. In the quarter, IRI reports that fresh packaged bread category in the total U.S. was down 3.5% in units and up 2.3% in dollars. In IRI South, the fresh bakery category at retail was down 2.7% in units and up 3% in dollars. In the total U.S., IRI shows that Flowers is down 2.5% in units and up 4.3% in dollars. In the IRI South market, Flowers' branded sales in reported channels were down 2.9% in units and up 3.6% in dollars. I'm pleased to report that IRI shows that our market share held steady. In the South market our brands hold 23.1% share of dollars and 18.9% share of units. For the total U.S., Flowers' dollar branded share is 7.9% and unit share is 7%. For the quarter, IRI for the total U.S. shows a 6% increase in average price across the fresh packaged bread category. In the South market, the category increased in average price of about 5.9% or about $0.11 per unit. Store brands did show some growth in the quarter, up 40 basis points in dollar share and 80 basis points in unit share. In general store brand continues to be below share levels held in previous years. Flowers' overall store brand business increased as a result of continued growth in store brand snake cake and incremental growth from new store brand business in the DSD segment. Our internal data shows growth in channel is not reported by IRI. As a reminder, current IRI data captures 49% of our retail branded bread sales or 24% of Flowers Foods' total sales. For the quarter, excluding Tasty, Flowers' internal sales data shows our branded retail sales were down 2% in units and up 3% in dollars. New products continue to perform well in the quarter. In July, we introduced Nature's Own Cinnamon Raisin Thin-Sliced Bagels. We also introduced Nature's Own Whole Grain Sandwich Rolls and hot dog buns, as well as specialty items under our Cobblestone Mill brand. Our total food service sales improved slightly as compared to the first quarter of this year. As I mentioned in the last quarter's call, we are adding new business in the second half with several new food service accounts, and expanded distribution with some of our current food service customers. Our new markets are also performing well. In the quarter, excluding Tasty, new markets contributed 3.5% of our total DSD sales and growth from our new markets was in line with our goal of 0.5% to 1%. George mentioned that our integration of Tasty Baking Company is going well. In July, we started offering Tastykakes as part of our product line up in Florida, in most of Georgia, Alabama and South Carolina. Over the next 12 to 16 months, most of our remaining regions will have the opportunity to sell the Tastykake brand. As we have told you before, we are confident that the Tastykake brand will strengthen Flowers' ability to gain share in the $4.3 billion fresh cake category. Our plans are also underway to introduce Nature's Own and the other bread products into Tasty DSD markets. As we increased sales, we will need additional bread and bun capacity to effectively serve those new markets. We're currently evaluating our manufacturing alternatives. Our plans are to leverage Tasty's excellent relationship with key trade customers, as we introduce our Nature's Own brand and other product launch in the key markets into the Northeast. In summary, our position in the marketplace remains solid and we are focused on opportunities for further growth. Thank you for your attention. And I'll now turn the call back over to George.
George Deese: Thank you, Steve, and thank you Allen. Before we take your questions, let me take just a few minutes to summarize where I see our business. I believe we are on track to achieve our five-year plan that we discussed with you in March. Let me remind you that over the long-term we expect sales growth of 5% to 10%, with 3% to 5% from organic growth and 2% to 5% from acquisitions; and EBITDA margin of 11% to 13%; and return on invested capital range of 13% to 15%; and double-digit growth in earnings per share. I have full confidence that everything we are looking at and working on, and focused on, will deliver the five-year plan. From time-to-time we do face volatility in commodities. Pricing may not always be what we expect due to competitors or customer pressures. As you know, we had a weak economy with high unemployment and that impacts consumers, our business as well as other businesses. But whatever circumstances we face, we will continue to conduct our business, the Flowers' way. We will right the ship and reward our shareholders over the long-term, which we've always proven that we can do that. I have to say that I have full confidence because of an outstanding team throughout Flowers Foods. This has never been a one person show or just the top management team. It is all about what the team can achieve throughout our operation as well as outstanding support from our distributors in the marketplace. With that I'll now turn the podium back to you for Q&A.
Operator: (Operator Instructions) Our first question comes from Heather Jones of BB&T Capital Markets.
Heather Jones - BB&T Capital Markets: I had a couple of questions. Wondering given your note of caution you sounded particularly with regards to consumer demand. I was wondering if you could give us a sense with as much visibility as you have, I guess given that we're in mid-August, your sense of comfort with your updated guidance for 2011?
George Deese: Heather, I'll certainly do it, and you might Steve and Allen add to it. I would say, as we looked at and really focused on the softness in the marketplace. We did do a lot of study through IRI as well as our sales at Warehouse, et cetera. I guess, it's one of the first times that's staying the course. We did look back quarter-to-quarter 2008 going forward and we saw the same trend, exact same trend in quarter one of '08 was similar. And it did take two or three quarters that work to step out. I think there's lack of confidence. I think people are being very cautious. I think they're trying to wise with their money. And I think they are taking less visits to the store, supermarket. And I think just a cautious time until we see unemployment get seasonal improvement there and comps us back with the consumer. It's not a drop off the bridge situation, but you do see that the volume and units down pretty significant in the bread business. But I do believe that good times or bad times that Flowers Foods will perform. And I think it will be because of what I said earlier, the team, the innovation, the quality of products, great execution in supermarkets. So it was cautious, but not to the point where anybody's jumping off the bridge. It's not that kind of caution. It's just saying we're seeing a little difference with that consumer lack of confidence at this point. And looking then at the sales guidance, looking at the last few weeks and knowing what's coming ahead, we feel very confident that sales guidance given this morning, see to it indicate the risk on the earnings in the back half will be the consumer as well as pricing activity and how that works out. But we're as confident I think as anybody can be with given the circumstances and the new announcement we made on this morning.
Heather Jones - BB&T Capital Markets: And looking to 2012, this seems to be a different scenario than '08, given that in '08 in the back half you had input cost start to plunge and continue to trend down as you went through '09. And clearly anything can happen, but the fundamentals for input costs do seem somewhat different this time. So if you could give us a sense of not guidance for 2012, but more of a qualitative outlook of your ability to put through more pricing for 2012 that's needed. And how you think the consumer's going to react, because again it looks like the pricing environment is going to be different than it was in the '09 timeframe?
George Deese: I think as we look at 2012, I think all of us can see that the commodity situation has firmed up. You look back 90 days going forward, we might see some relief and all of a sudden it firms back up again, and we see the firmness as we speak even now. We don't forecast in our minds big spike from where it is today. I think I said early on it, though we see more of the same, but we have seen, and if you look at IRI I think the baking industry and all the people in the food industry that are buying these commodities, most everyone is taking pricing in the marketplace as you review it through IRI and other report on marketplace and seeing it. So I think we will be able to price and that today I feel very good about 2012.
Heather Jones - BB&T Capital Markets: And my final question is, is you affirmed your long-term goals. Just wondering should we expect some potential movement in that year-to-year, given that we are in a soft economy. Don't know when that's going to improve, given we're in a high-price environment. Is that your long-term goal that potentially like I said could be some movement year-to-year?
George Deese: I think that's a wonderful question, and that's one thing that I always like to remind our long-term shareholders about. This is a long-term business and that's why we like to look at it over time, and we set five-year targets. So things can change from quarter-to-quarter. This is a daily business. Fresh DSD bread business is day-to-day. So we do stay focused daily, and weekly, and yearly, and quarterly. But things can change quarter-to-quarter and it can change year-to-year. But if you look at it over time and always look back to that five-year timeframe, you will see that Flowers' on a compounded growth and earnings per share sales and all of the above. And that's what gives us confidence. Commodities and pricings do change. But over the long haul, it always means work out. You can have pressure for a couple of quarters. You could have pressure for a year. But over time, with a proven business model that Flowers has, the efficient bakeries that we have, the investment we continue to make in our people and their bakeries and our products, with our customers, it all comes together to be a wonderful company called Flowers Foods. And we have full confidence in our ability to move this company forward.
Operator: Our next question has from Farha Aslam for Stephens.
Farha Aslam - Stephens: I have a question about the volume that you've assessed that was delayed from this period to later in the year. Could you give us some color around the size of that and what were the factors that had it fall more through the back half?
George Deese: Farha, I can't give you all the specifics that you'd like to know. Obviously, there was a delay in the timing that we had anticipated for a number of reasons that I can't go into completely. As you know, we said last year we had invested in our cake business and anticipating new business coming our way. It's not that we're not getting the business. It's just that it didn't play out and time out exactly the way we anticipate it. But we have confidence that we will work out for the back half of the year.
Farha Aslam - Stephens: And just kind of roughly the size of that business?
George Deese: I'm sorry I just can't specifically give you that number.
Farha Aslam - Stephens: When you look at pricing, it says that pricing lags commodities. Was it that when you went in you got pushed back from your retailers and you have to just work through it? Did they put it out for a bid? You have had your commodities hedged pretty nicely. I just want to understand pricing and the pushback you saw.
George Deese: I would say that I'm real pleased that 75% of our business, DSD, did have nice pricing and things did improve. If you think about our DSD business, and I have heard other food companies say the same thing, it's basically wrapped around branded products. And we look at our vast programs, we are unfortunately a little more unbranded and we were not as successful as we would like to be in pushing all of our commodities through. Some of that also is timing due to different agreements with different people. But we should see some improvement in third and fourth quarters against those commodity costs. So it's just a delay, but the delay will be eliminated.
Farha Aslam - Stephens: And my final question is regarding your commodity position. Normally you share with us the degree that you're hedged on wheat going forward and your non-wheat cost. Could you just give us some color on your coverage of food?
George Deese: I'll repeat what Steve always repeats. We always think about six to nine months as our targeted area. And I would still repeat that today that's our philosophy and we try to stay as close to that as we can. At some point, if it's low, we're going to get longer. If it's higher, we're going to get a little shorter. So that's about all I can see. But that's our philosophy and we're pretty well sticking to that.
Steve Kinsey: I would comment on that as well. For 2011, we gave the cost increases of 8% to 10% on the input cost basket, and we're pretty confident of that number.
Operator: Our next question comes from Eric Katzman of Deutsche Bank.
Eric Katzman - Deutsche Bank: Following up as far as on the warehouse volume that was deferred, was that basically because you built the capacity ahead of time and because the volume wasn't there? Normally you guys run at a pretty high efficiency and I wouldn't have assumed that one contract was that as much of an impact.
George Deese: Eric, I would say, number one, it's more than one contract. It's not just one company. We just didn't get there as quick as we thought we would. It was a major event though in addition to that. But you are right. And we said last year, we saw great opportunities with this business. A little back the past several years in that business have been very productive, and this is just a lapse in time that commodity increase didn't get as fast as we thought it would and the volume did not come through on the time horizon that we had thought. Steve is going to follow up on that fixed cost.
Steve Kinsey: I think you're right. If you recall, last year we talked about all the production capacity we added to that division. And as George mentioned, we get new branded products as well as other opportunities in that arena, and the timing just seems to have slipped a little bit.
Eric Katzman - Deutsche Bank: And just a housekeeping items, first of all, the Tasty Baking plus-$4 million cost, in terms of the segment model, was that below in DSD or was it in incorporated or split, how do we exclude that on the segment model?
George Deese: The acquisition costs are in the corporate number.
Eric Katzman - Deutsche Bank: Just going back to our discussion again on Tasty, is my memory faulty or did you indicate that you would expect it to be possibly modestly accretive this year. But it sounds like now you're just factoring in neutral or it's like splitting hair in a tough environment.
George Deese: Yes. I would say that those opportunities were to be slightly up, but it won't be material.
Allen Shiver: I got to also say that it brings opportunities for next year. They had corporate overhead. We got a corporate overhead. And obviously we don't need the one and some of that cost is there and some other areas, but it's all about the synergies that we know are there in and we are pretty well getting there. But there is a cost associated with fixing that. So we can sort out exactly where we thought we need to be.
Eric Katzman - Deutsche Bank: It seems as if what's happening is kind of the very low-end private label is doing all right. The premium brands like Nature's Own or Pepperidge or something like that are doing okay. And it's really like the local and regional brands that are suffering. Is that how you see it and what do you think other than the economy getting better that can help those brands that are in the middle?
Allen Shiver: Eric, I think you're right. If you look at the entire category, loaf breads, and we all purchase the core items, specifically Nature's Own brand is doing well. As far as being able to absorb additional pricing, there is something that we feel like the Nature's Own brand can do. In fact in 2008, the whole category was really trending similar to the category trend that we're seeing today. But in 2008, the category actually absorbed more pricing than the category has absorbed now. So we feel like given the commodity situation that there is more pricing to come. In terms of what's going to make a difference, I think our strength is really on those core items. And I mentioned in my comments earlier that some of the discretionary impulse purchases I think are the first to go when consumers run through financial pressure. But I have confidence in our guidance based on our strength in the core items, I think those will be the items that are not as affected by our pricing in the overall demand situation.
Operator: Our next question comes from Akshay Jagdale of KeyBanc.
Adam Joseph - KeyBanc: This is Adam Joseph in for Akshay. George, you talked on the last call that how consumers were buying much more probably at the beginning of every month and at the end of the month owing to their financial problems and that this buying behavior is broadening or was broadening. What patterns, if any, did you see in the second quarter?
George Deese: It's amazing at midnight that the first of the month, the day the checks come out or other economic thing comes to a lot of people, the check is at the bank and you go shopping at the end of the month. So that tells me there is tremendous pressure on the consumer for the tail-end of the month. They are just waiting for that check to be downloaded into the bank. So first of month you still see a significant uptake. And the worst is when you have a five-week month. You're not close to what the first of the month is. In fresh baking business, that makes it even tougher, because you still have a space to take care of, you're still trying to take care of the marketplace. So you have to get smarter and smarter on how we distribute our product toward the tail-end of the month and manage that category versus the first of the month.
Adam Joseph - KeyBanc: In terms of price increases, to what extent do you think higher prices are contributing to the categories' ongoing volume weakness and what if anything can you do to prevent continued volume decline?
George Deese: You're seeing heavy promotions obviously, but we did see heavy promotions in the second quarter.
Allen Shiver: I think higher prices did impact volume. But again, our confidence and our strength is really in those core items. There is still a very good value in bread and buns. And in terms of fit in the household, it's still a very much of a routine purchase. As long as we keep our brand strong and our product quality is extremely high and differentiated versus our competition, we should be to handle the price increases as they come.
Adam Joseph - KeyBanc: On a dollar basis, what was your input cost basket up in the first and roughly what do you expect it to be up in the second half?
Steve Kinsey: We haven't really given the dollar magnitude. The full year, it was about 8% to 10%. The first quarter was down roughly 2% to 3%. The second quarter was up 8%. So does that help you get there?
Operator: Your next question comes from Tim Ramey of D.A. Davidson & Company.
Tim Ramey - D.A. Davidson & Company: Are you preserving volume and growing the basic business or are you doing kind of like what Frito-Lay did last quarter. You're kind of somewhere in the middle, and I don't totally understand that strategy. I guess historically I would think of Flowers as being more kind of we have to price to maintain market share and maintain our volumes. Can you talk to that question a little bit?
George Deese: Tim, I will. There is always a question in judgment. And I think we've displayed over time that we do use the right judgment. I've to say that over time if you look at our market share, we have protected and our market share is up slightly. As you know, in this business, there are big volumes. So you don't two, three points in any given time. It takes more of a percent. Bug again, if you look five years or 10 years, you would see that we have increased our market share. Our main point is we will always try to grow at or above the category. If the category is down 3% in units, we try to beat that. That's more of a guiding light to us and fewer volumes. If the volume is not there, if the volume is truly down, sometimes that's hard to predict how to beat that number. So that's our philosophy and I think it's proven well for us over time. There might be a quarter here or there that it didn't work out, but we get it right. And that's in my closing remarks and something is not right, we write this up, whatever it takes. And I'd say that about protecting our business and growing our business.
Tim Ramey - D.A. Davidson & Company: If I can just follow-up on your comments on the economic context on your markets, if we were having this discussion 10 years ago, I think we both would have said bread is the ultimate form of proof of consumers' defensive stable business. And for some, it's going to go down and it's a faulty grill in a weak economy. Now you are telling that this is overly-sensitive to the economy and immediate more upscale things that people can do with the money. How do you think about that?
George Deese: I hope I didn't give that complete impression. All I was pointing to was our similar trend in '08. We are seeing the similar trend now. We didn't just look at the bakery category. We went back and looked at all of the alternatives for people to purchase that supermarket. And we didn't find any great signals that people traded all for bread to buy something else. We looked at numerous, numerous categories in examining this. I always believe that in this baking category, you won't see huge gains, but you'll also not see huge losses either. But I think it is a stable business. I think there are times and we did see it back in the low-carb issues. There are times when you do see some reduction. But it always comes back. And I have full confidence we'll come back. I do see people feeding out of different restaurants or they go into fast foods. And as much as they did, I do feel restaurants are doing good. So it is a different economy. And depending on where you're at, I believe that people are wasting less than ever, because they are still stretched. Less ways does mean you have sometimes less volume, because less goes out the door. But at the end of the day, Flowers Foods will find the way to increase its volume and its presence in the market as we continue to expand that five-year horizon.
Operator: Our next question comes from Bill Chappell of SunTrust Robinson Humphrey Incorporated.
Bill Chappell - SunTrust Robinson Humphrey Incorporated: On the CapEx number, I guess you fine-tuned it more to the $90 million versus the $90 million to $100 million. I didn't know if that was just fine-tuning or is that kind of selective of the acquisition opportunities you see out there, or how I should look at that?
Steve Kinsey: Really what it is, Bill, is kind of a combination. We look at some projects that Tasty Baking had on schedule, a few minor projects that finish out of a couple of lines at new plant. And then we looked at our projections for future production capacity and markets where we may lead some and then looking at M&A activities and what's going on there and looking at the opportunities kind of across the whole, we pulled back some, put a few projects on hold. So it's kind of a combination of both.
Bill Chappell - SunTrust Robinson Humphrey Incorporated: I guess with all that in mind, would you expect CapEx to be up in 2012 versus 2011?
George Deese: No, I think it will come back, and it'd really depend on the M&A activity. We will continue to invest in projects that give us better quality and reduce our costs. Those would always be front of mind. But I mentioned that earlier on all that we're doing this year and previous years. But I think it has to do a lot with the M&A activity that we already had and looking to some that might come. As Steve said, we just slowed down, but we have been busy the last several years on capital investments. We will next quarter talk more about 2012, but it depends on so much on what happens. And that's not trying to be vague, but it does.
Bill Chappell - SunTrust Robinson Humphrey Incorporated: On the Sara Lee refrigerated dough business, is that something you would have been interested in or are you really focused more on fresh baking?
George Deese: There are still a lot of opportunities in fresh bread baking and cake business. That is the focus. It goes back to what I talked about earlier, so much M&A activity. We are not experts in that type of business, even though you can make the case well. It's the same ingredients. It's a slightly different process. But at this point in time in our career and stage of the company, we just don't want to get sidetracked with something that's not exactly non-core of the business. In fact, most people who are divesting business are trying to get more core like we've been core for a while.
Bill Chappell - SunTrust Robinson Humphrey Incorporated: Just trying to understand kind of the price versus promotion. If I'm looking at pricing year-over-year being up, is that more indicative of list prices or just that promotion really has been eased off within the category? I mean do you expect anything near term as I assume the Bimbo-Sara Lee transaction is consummated at some point in the future?
Allen Shiver: I think if you look at everyday our regular prices, that is really reflective of $0.13 on a national basis with the category. So the everyday prices are up. Promotional activity continues to be high, but the price points of those promotions are gradually moving up. So an item, looking in the rearview mirror, may have entered a nice price in the future, it may be higher than that based on commodity costs are having to the passed through. And we see that really across the entire category.
Bill Chappell - SunTrust Robinson Humphrey Incorporated: In terms of just kind of the merger and how that might change the landscape?
Allen Shiver: Of course, Bimbo and Sara Lee, there is no news at this point. As far as changing the landscape, I think that remains to be seen. There is still a lot of variables that could influence the category based on that transaction, and I don't think we need to speculate here.
Operator: Our next question comes from Ann Gurkin of Davenport.
Ann Gurkin - Davenport: Regarding the pricing you talked about in the second half, is that in the marketplace or are those situations that you're still discussing with customers?
George Deese: I think most of it has been announced.
Allen Shiver: Most of it is either going in as we speak or very soon.
Ann Gurkin - Davenport: Regarding foodservice, some companies have talked about foodservice demand dropping off after Mother's Day, and I was just curious if you saw a similar reaction in your business?
Allen Shiver: Overall, our foodservice year-to-date is relatively flat. However, looking at recent weeks, we are showing an uptick in our foodservice business, but it's primarily because we're acquiring new foodservice business. It's not reflective of an increase in our base customers. It's really being driven by new business.
Ann Gurkin - Davenport: George, I'd love '12 guidance. Do you want to give us that?
George Deese: Got the money, but I can't say yet.
Operator: Our next question comes from Amit Sharma of BMO Capital Markets.
Amit Sharma - BMO Capital Markets: George, I just wanted to focus on the snack cake portfolio. I mean relative to 2008, it's a much bigger portfolio, especially if you include Tastykake. Now, is that one of the business more impacted by the economic environment, given that it's more impulse discretionary spending, and do you see more evidence for price elasticity in that portfolio versus fresh bread?
George Deese: When I talked about the '08 timeframe versus now, that strictly had to do with the bread and bun category, loaf bread in particular. As to the economics in the overall cake business, I'd say that always the summer is the slowest time of the year for the cake business, as always a big back-to-school time horizon, and that's back around to the May timeframe is probably the best time for the cake business. As you know, a lot of times people who are not going to the supermarket just buy cake. To me, it's a lot about impulse, being in the right location, the displays, great product, looks good, good quality, the right price is for me what drives the cake business. So I've not seen any big fall-off because of the pricing and yet we got a lot to learn in this category.
Allen Shiver: Really just to add to that, one reason we're excited about that Tastykake brand is not only is the brand very strong from a consumer standpoint, but Tastykake has some very unique items that are inherent with the brand that we feel long-term can position us to gain more pricing over time.
Amit Sharma - BMO Capital Markets: The Q shows that white bread sales declined again. Can you give us some idea of what the magnitude of the decline is? Is it mostly in line with what we're seeing in the previous quarters or is it more than that? As white bread sales continue to decline, what kind of impact it has on your gross margin? Can you just provide some color on that please?
Allen Shiver: As you know, the white bread category is in decline. We speculate on the reasons why. But I'd say looking back at this past quarter, our rate of decline in the white bread category has been less than the category in general. We're working hard to try to grow our white bread business. It is important to our gross margin. Our goal is to beat the category trend. And at the same time, if consumers are moving from white bread to other categories, it's important that we capture those sales through our Nature's Own brand in those other categories, whether they might be soft variety or specialty white wheat breads. But looking at the past quarter, our white bread trend is slightly better than the category trend, but the category does continue to trend down on white bread.
Amit Sharma - BMO Capital Markets: Was 2Q volume impacted by any tornadoes? You had tornadoes and flood in some of your territories. Was there any material impact of those weather events?
George Deese: It was devastating to the people involved, especially in Tuscaloosa and Birmingham and then over into Missouri. We lost electricity in our Tuscaloosa plant, but because of our cyclical baking, we were able to get product from other plants and get it into the marketplace. So it is not a measurable financial hit to the company because of that.
Operator: There are no further questions at this time. I would now like to turn the floor back to management for closing comments.
George Deese: I thank all of you for your continued interest in the company. We feel great about our position and the business model that we have in place. And with the team we have, we just march forward and continue to do the great job as we have always done and continue to reward our shareholders. Thank you.
Operator: This concludes today's teleconference. You may now disconnect your lines at this time. Thank you for your participation.